Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to today's First Quarter 2019 Ship Finance International Limited Earning Conference call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today, Tuesday 21, of May 2019. And now, I would like to hand the conference over one of your speakers today, Ole Hjertaker. Please go ahead.
Ole Hjertaker: Thank you, and welcome everyone to Ship Finance International, our first quarter conference call. With me here today I have our CFO, Aksel Olesen; and Senior Vice President, Andre Reppen. I will start by briefly going through the highlights for the quarter and following that, Mr. Olesen will run us through the financials and as the operator indicated the call will be concluded by opening up for questions. Before we begin our presentation, I would like to note that this conference call will contain forward-looking statements within the meaning of the US Private Securities Litigation Reform Act of 1995. Words such as expects, anticipates, intends, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on our current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Important factors that could cause actual results to differ include conditions in the shipping, offshore, and credit markets. For further information, please refer to Ship Finance's reports and filings with the Securities and Exchange Commission. The Board has declared a quarterly dividend of $0.35 per share. This is our 64th -- 61st quarter with profits and dividends and the dividends represents $1.40 per share on an annualized basis or nearly 11% dividend yield based on the closing price yesterday. Over the years, we have now paid more than $25 per share in dividends or more than $2.1 billion in total and we have a fixed rate charter backlog of $3.8 billion, which should support continued dividend capacity going forward. The reported net income for the quarter was approximately $34 million or $0.31 per share. This is from total charter revenues of around $160 million, primarily from vessels employed on time charter and includes a small profit split on the tankers. The EBITDA equivalent cash flow in the quarter was approximately $125 million. And last 12 months, the EBITDA equivalent has been approximately $480 million. The last 12 months have been very active in multiple transactions. We have grown our backlog by more than $1.3 billion and seen a major change in the fleet mix. As a consequence of this, the EBITDA is up 25% compared to the same period last year. During the first quarter, we have agreed to extend the charters for two 5,800 TEU container vessels by five years, but added a purchase obligation at the end. In addition, four 4,100 TEU vessels were extended by two years. All these vessels are chartered on bareboat basis to MSC. Subsequent to quarter end, we have also agreed to extend the charters for four 8,700 TEU container vessels, chartered on time charter basis to Maersk and these charters will now expire in 2024 and 2025. Combined, these adjustments added more than $170 million to a fixed rate backlog and our aggregate backlog stands on the same level as at the end of the previous quarter. Following the high deal flow in the fourth quarter, the first quarter was more of a housekeeping quarter for us, with several of the near-term debt maturities were addressed. We paid down a Norwegian krone denominated bond loan as Mr. Olesen will discuss later and we have virtually no further refinancings due until mid 2020. I would also like to highlight our position relating to the new maritime regulations, focused on reducing pollution at sea to be implemented in 2020. In order to be able to continue using lower cost high sulphur fuel oil or so called HSFO from 2020, vessels will have to be upgraded with exhaust gas scrubbers. The alternative is to use more expensive low-sulphur fuel and based on the forward curve, we see today, price difference is currently priced at around $200 per ton next year. Depending on vessel size and scrubber configuration, a scrubber installation may cost from $2.5 million to $7 million per vessel, which is a significant expense, particularly for smaller vessels. But payback could be short at the current spread levels, particularly for the larger vessels. For vessels on bareboat and time charter, our customers pay for the fuel and will therefore benefit from the savings in fuel cost by installing a scrubber unless we agree to a profit share arrangement. For vessels in the spot market, the benefit will go to us. Given the added revenue potential for vessels with this equipment, we also expect that it will positively impact vessel valuations. Currently 25 vessels in our fleet are scheduled to be upgraded with scrubbers, primarily in the container sector, but also on larger crude oil tankers and dry bulk vessels. Based on discussions with our customers, this number may increase going forward. For the vessels on long term charters, most of these investments will be covered by our charterers, but in some instances we may look at funding such investments against an adjustment to the charter rate generating a proper return on our capital or alternatively a profit sharing model, where we fund all or a part of the installation in exchange for an appropriate share of the gains of using lower cost fuel. We have also agreed to install scrubbers on -- for our own cost of benefit on our two Suezmax crude oil tankers. From our side, upgrading vessels or scrubbers is as much a defensive move than an offensive. Worst case, if price difference should be smaller than analysts project and what is priced in the current forward curve, it may not be as profitable as one could hope for. But if there is a real market disruption as some things that will be the gains could be formidable with very short payback time on the equipment and corresponding increase in asset values. And another benefit is the expected higher number of vessels out of service due to these upgrades, which should lead to a firmer market at most segment everything else equal. Analysts estimate up to 3,000 vessels to be upgraded which scrubbers over the next 12 months and it could take three to four weeks out of service to do the job. Currently, our capital commitments are limited to $26 million, but could increase over the next few months. Given the increased expected charter hire, we believe a significant portion of such investments can be financed and thereby limit our own net investments. Following the recent charter extensions or charter backlog now stands at approximately $3.8 billion. The bulk of transactions last year was related to container vessels so the liner segment now represents more than 50% of our backlog, up from around 38%, 12 months ago. Our focus in the liner segment has primarily been on new design container vessels between 9,000 TEU and 19,000 TEU and we continue to see opportunities in the segment, as illustrated by the two acquisition in 2018, adding $1.3 billion to the backlog. In addition to the charter extensions mentioned earlier, we also recently chartered out two car carriers to Glovis for a 12 month period. Due to the relative shorter nature of this charter, it is not included in the backlog figures. Up until 2017, the offshore segment was our largest segment for long period, but it is now down to 26% of our charter backlog down from 34% only one year ago. And as if you can see from the Slide on Page 5, the backlog is only half of the backlog from the liner segment. SFL received full charter hire on the drilling rigs on charter two Seadrill during the restructuring in that company, which enabled us to significantly reduce our financial exposure to the rigs in that period. We have agreed to temporarily reduce other charter hire by 30% until 2022 with a catch-up thereafter. And in the meantime, we will continue to generate strong net cash flow from these assets, due to significantly reduced leverage and corresponding lower debt service costs. Seadrill has sub-chartered the harsh environment jack-up rig West Linus to ConocoPhillips until the end of 2028. The harsh environment semi-submersible rig West Hercules has recently been awarded multiple consecutive sub-charters in the North Sea and is now working for Equinor and including the West Linus, we have reduced the debt from $1.9 billion initially on the Seadrill rigs to less than $650 million currently and of this aggregate outstanding loan balance only $266 million is currently guaranteed by SFL. On the dry bulk side, we have 22 vessels in the fleet with 13 larger vessels chartered out on long-term basis and seven Handysize vessels and two Supramax bulkers traded in the spot market. One of our long-term objectives is to combine stability and predictability in cash flows with optionality and we have seen over time that market volatility can generate super returns from time-to-time. We have a 33% profit split on top of the base rate of $17,600 plus interest adjustment or around $18,000 -- $18,600 currently. This is above current market levels and we did not earn a profit split this quarter, but there are still many quarters left on the charter and there could be good opportunities to earn profits split down the road. The kamsarmaxes and most of the supramaxes are all on long-term fixed rate time charters while the seven Handysized dry bulk carriers continue to trade in the spot market due to the two of the Supramax bulkers. The rates achieved this quarter for the Handysize vessels were approximately $5,900 for trading day, which was down from approximately $8,500 per day in the previous quarter. For the tankers, in the first quarter, the crude oil tanker markets benefited from high fourth quarter rate levels and good charter coverage going into the quarter. Rates across the segment fell slightly through the quarter and part of the reason for that was a number of new buildings that were delivered in the period. Rates did pick up again and towards the end of the quarter, but softened again subsequent to quarter end. But despite the relatively soft market, the share price of many tanker companies have surged lately. We believe that is partly due to the expectations of the effects of the implementation of the IMO 2020 regulations, which is expected to drive both increased demand and tightening supply in the segment and market analysts expect a positive sentiment going into the third and the fourth quarter of the year. In the first quarter, the remaining VLCCs on charter to -- from Frontline Shipping Limited generated around $27,600, an average per day, which was above the base rate. So a profit split of approximately $1 million was accumulated. In addition to the VLCCs, we also have exposure to the crude oil tanker market through our two modern Suezmax tankers, which are traded in the pool with sister vessels owned by Frontline. For these vessels, the average charter rate in the quarter was approximately $25,700 per day, which was up from the $17,500 in the previous quarter. And lastly, I would like to highlight that in the first quarter 62% of revenues derived from time chartered vessels, while only 38% derived from bareboat chartered vessels and rigs, which may be a surprise to many. We believe we can offer superior service of flexibility to our customers, giving our access to more deal flow, than if you focused on one operating mode only. And with that, I will give the word over to our CFO, Aksel Olesen, who will take us through the numbers for the quarter.
Aksel Olesen: Thank you, Mr. Hjertaker. On this slide, we have shown our pro forma illustration of cash flows for first quarter compared to the fourth quarter. Please note that this is only guideline to assess the company's performance and is not in accordance with US GAAP and also net of voyage expenses, extraordinary, and non-cash items. Total charter hire for the first quarter was $155 million, up from $154 million in the previous quarter. On the tanker side, SFL has nine crude oil product and chemical tankers, most of which are employed on long-term charters. The vessels generated approximately $18.1 million in charter hire in first quarter, including approximately $1 million profit share contribution from our VLCCs on charter to Frontline. The charter hire from our tankers was up despite divestment of two VLCCs in the previous quarter. Thus crude tanker rate benefited from solid Q4 rate levels and good charter coverage going into Q1. On the liner side, SFL has a fleet of 45 container vessels and two car carriers. All of our container vessels are employed on long-term fixed rate charters. The liner fleet generated approximately $81.4 million in charter hire compared to $75.5 million in the previous quarter. The increase in charter hire for liner segments is firstly due to the two 19,400 TEU container vessel delivered in December 2018, had their first full quarter of charter hire in the first quarter and generated an EBITDA of approximately $7.8 million. The vessels are charted out for a period of 15 years to MSC, the world's second largest container line. And secondly, a full quarter of charter hire from all of our three 10,600 TEU container vessels on long-term charters to Maersk line. These vessels generated an EBITDA of approximately $10.3 million in the quarter that charted out for a minimum period of six years. The company owns 22 dry bulk carriers, of which 14 are employed on long-term charters and nine of which are trading in the spot market. All of the charter revenues for SFL's dry bulk carriers is derived from time and voyage charters, and SFL generated approximately $23.4 million in charter hire from the dry bulk vessels in first quarter compared to approximately $28.4 million in the previous quarter. The reduction in dry bulk revenues was due to lower revenues, seven smaller Handysize vessels and two Supramax vessels trading in the spot market. As a consequence of the soft market sentiment in the first quarter, there was no profit share from our eight Capesize vessels on long-term charters to Golden Ocean. SFL owns three drilling rigs and five offshore support vessels. All these assets are employed on bareboat charters and generated $33.2 million in charter hire in the first quarter compared to approximately $35.3 million in the previous quarter. The reduction is due to reduced revenues from our drilling rigs after sale of our jack-up rigs in Soehanah in the fourth quarter and scheduled reduction in charter rates on one of the Seadrill rigs. This summarizes some adjusted EBITDA of $124.4 million for the quarter or $1.16 per share, which is in line with the previous quarter. We then move on to the profit and loss statement as reported under US GAAP. As we have described in previous earnings calls, our accounting statements are different from those of traditional shipping company. As our business strategy focuses on long-term charter contract. A large part of our activities are classified as capital leasing. As a result, a significant portion of our charter revenues are excluded from US GAAP operating revenues and instead booked as revenues classified as repayment of investment in finance leases, results in associates and long-term investments, and interest income from associates. Overall for the quarter, we report total operating revenues, according to US GAAP of $116.5 million, which is the lower number than the $160 million charter hire actually received for the above mentioned reasons. The reduction in US GAAP operating lease charter revenues is mainly due to reclassification of the income of two container vessels, where this charters have been extended with the purchase obligation. And consequently, in reclassified to finance leases. This is also reflected in the increase in charter revenue on the finance leases. Furthermore, SFL recorded a $10.5 million gain on mark-to-market movement on our equity securities investments. A $2 million loss related to mark-to-market movement on interest and currency hedging derivatives. In addition there were other non-cash expenses of approximately $4.2 million in the quarter, including amortization of deferred charges. So overall, and according to US GAAP, the company reported net income of $33.6 million or $0.31 per share. Moving onto the balance sheet, which was approximately $164 million of cash and cash equivalents, including $10 million freely available cash in our subsidiaries accounted for as investments in associates. In addition, the company had marketable securities of approximately $96 million, based on market prices at the end of the quarter. This includes a 11 million shares in Frontline and financial investments in secured bonds and other securities. The change in investment in marketable securities is mainly related to the increase of the value of the Frontline shares. In March 2019, SFL paid approximately $124 million to settle unsecured NOK denominated bond issued back in 2014, including related cross currency and interest rate swaps. This was funded from the company's available liquidity. During Q1, 2019, new bank financing for existing vessels in the total amount of $104 million was arranged, increasing the cash position for $73 million net. These vessels include three VLCCs, three Supramax dry bulk carriers and two car carriers. In January 2019, the company repurchased $3.4 million of its $164 million convertible notes due 2023 at a discount, as we do it from time-to-time. Net outstanding amount under note after repurchase is $148 million. Stockholders equity was approximately $1.2 billion, giving a book equity ratio of approximately 30% at the end of the quarter. Then looking at the liquidity and financing status. As mentioned, we have total available liquidity of $164 million at the end of the quarter, including $10 million in our subsidiaries accounted for as investment in associates. In addition, we have available marketable securities including a 11 million shares in Frontline. At quarter end, the Frontline shares had a value of approximately $70 million. However, based on Frontline's closing price yesterday, the shares had a value of approximately $102 million. Furthermore, SFL have [indiscernible] vessels at the end of Q1, with the combined based on average broker appraisals. At quarter end, SFL had a growth interest-bearing debt of approximately $3.2 billion. This includes approximately $1.6 billion in senior secured bank debts, approximately $128 million in unsecured NOK bonds and approximately $360 million in convertible notes. In addition, we have approximately $1.1 billion of capital lease financing. As illustrated on this slides, we have a staggered debt maturity profile and fixed amortization of approximately $175 per year, including $110 million in scheduled debt amortization and $65 million in repayment of the debt element of lease payments. Our senior bank and leasing debt is secured in assets and upcoming maturities also a large extent call by high quality assets with moderate leverage based on asset age and contract backlogs, enabling us to roll over the bank debt or alternatively, the balloon is covered by purchase obligation, thus reducing the overall refinancing risk. Our bonds and convertible notes are senior unsecured and SFL is a frequent issuer in the market and [indiscernible] these marketing terms are deemed to be attractive. In this quarter, we have been proactive on the financing sides, and have virtually no refinancing requirements before June 2020. Then to summarize, the Board has declared a cash dividend of $0.35 per share for the quarter. This represents a dividend yield of 10.8% based on the closing price -- share price yesterday. Net income for the quarter was $33.6 million or $0.31 per share. We have recently added approximately $170 million in backlog increase to charter extensions and have a very robust liquidity position, which gives us substantial investment capacity as far as flexibility to act quickly on opportunities in the market. And with that, I give the word back to the operator, who will open the line for questions.
Operator: Thank you so much. Now, ladies and gentlemen, we will begin the question-and-answer session. [Operator Instructions] And the first question comes from the line of Chris Wetherbee from Citi. Please go ahead.
Chris Wetherbee: Yeah. That sounded good, operator. Thank you very much. Thanks, guys. I guess, I wanted to start a little bit on your thoughts on the container market, in particular sort of the impact of -- some of the preparations for IMO 2020 that could be occurring over the course of the next couple of quarters. Do you get a sense that or can you give us a sense of what you think that sort of impact the capacity might be as some vessels are going to be fitted for scrubbers, but other vessels are going through sort of the tank cleaning process to get new lower sulfur fuel on board kind of in late 3Q or 4Q. Will that have an appreciable impact, do you think it has a benefit to rigs?
Ole Hjertaker: Yes. I think, we have got two levels, I would say to that question. If you're a liner operator, you have your, call it running expenses think your vessels, which is, either renting them, owning them yourself, running them and paying for the fuel. And the other is, how can they get effectively a fuel surcharge from their customers. And I think generally most of the liner companies have positioned themselves to be quite -- get a significant compensation for the expected increase in fuel costs count 2020. But of course, as we all know, if every dollar saved on the cost side go straight to the bottom line. So therefore, several of the large container lines have focused on installing scrubbers and most of the scrubbers that are committed on the vessels we own are container ships on long-term charters to liner operators. Due to confidentiality process, we cannot specifically disclose which vessel it is. But I would say generally it's the larger vessels where you see most of the -- we call it fuel oil, call it consumption. And just to give you some sort of -- some feel for the numbers, with the forward rate currently of around $200 per ton. You can see an annual saving for larger container ships and this is by that I say sort of around 9,000 TEU/NOK. You can see a payback time effectively of less than one year. A large container ships, say of 20,000 TEU would consume around 35,000 tons per day on, I would say, normalized speed adjusted for days at sea, while sort of 9,000 to 10,000 would have a consumption of around 22,000 -- 23,000 tons per year. So matching that up with the savings, again at these levels, we're talking say around $7 million savings for a very large container ship and maybe $4 million, $4.5 million saving on a $9,000 to $10,000 TEU set. So this can be very significant for the liner companies. So the question is that, of course, if you are liner company, how much of the fuel surcharge will you be able to keep for yourself and how much of that will you have to share with your customers and that is of course down to the competitive landscape. What do I think, we will see also is an added effect also in this segment because of the number of vessels that is expected to go in force proper retrofitting and the time that it will take both during the actual job, but also the rotation effect of taking it out of service before it started into service. You could see a significant the utilization impact of this, which should also benefit hopefully the -- on the cost side for these liner operators.
Chris Wetherbee: Okay. That's helpful. And that last part kind of answers the question of thinking about. And then, in terms of your exposure in the SFL fleet on the container side through the rest of the year, can you give us a sense of what's available, what's open for rechartering and do you think you have the opportunity to maybe take advantage or maybe extend duration on some vessels as you go through the end of 2019?
Ole Hjertaker: Yeah. The only vessels we have coming off in -- at the end of this year are two small feeders vessels 1,700 TEU vessels that are coming off 12-year charters and while all the other vessels are chartered much longer and I will say all the bigger vessels are chartered well beyond '19 -- 2019 and 2020 call it period where we do expect to see most of the volatility or potential volatility in fuel oil prices. I would add that, we are currently discussing on some vessels, call it, scrubber installations and we can get scrubber from, call it, what I would say, call it the premium makers. We can get them ready installed in about six months time. So the lead time here, to get this equipment installed maybe shorter than at least the some thought that would be, if you go back around six months.
Chris Wetherbee: Okay. That's very helpful. Thanks very much for the time. I appreciate it.
Ole Hjertaker: Yes. Thanks.
Operator: Thank you so much. And the next question comes from the line of Randy Giveans. Please go ahead.
Chris Robertson: This is Chris Robertson on for Randy. Thanks for taking our call. Just to clarify on the scrubbers, will any of the 25 vessels have exposure to the spot market at any point during 2020?
Ole Hjertaker: Yes. Of that, I mean, two of the vessels we are installing scrubbers for our own account on two Suezmax tankers. So they will be exposed to the spot market and of course, fingers crossed, there will be call it, there will be some positive effects there relating to the fuel oil. Also, there will be -- also on two VLCCs, we have also doing some upgrades there, which we are doing in conjunction with Frontline. On two vessels where we will benefit from, the profit split about $20,000 per day with our proportionate share. So, but all the others are tied in long-term charters. And then it's really more a question of how do you share the costs and what's the return on capital, if we are going to pay for it, or as we have indicated, we are also opened to discuss a profit-sharing arrangement, if we think that we can get a very good and of course, a significantly higher return on our invested capital, if the market -- the price volatility on fuel oil will develop as we think it will into next year.
Chris Robertson: Okay. Thanks for that. That's really good color. And then in terms of the cadence of the installations, are any being completed during the second quarter, will all 25 be complete by January 2020 and kind of what's the pacing of installations for the rest of the year?
Ole Hjertaker: Well, I think, right now, it's relatively few. I think on the vessels we have, the bulk of it will be in the second half of this year and based on what we say, our intelligence from the various shipyards, of course, this is wrapping up, you only have relatively few scrubbers installed generally in the market now and there is some expectations for 2,000 installations during the year. So it will be very interesting to follow and see what kind of efficiencies sort of these yards have and whether or not there will be delays in the installation. The equipment itself is not super sophisticated, I would say, it's a big shovel system. Of course, you need to put the piping in right and it needs to be configured right. So it does what it's supposed to. But of course given the huge volume of these that could be logistical issues in getting these scrubbers ready at the various yards that where they're going to install it. And they call also potentially be a lack of, I would say skilled workers to do the job because the water in particular -- the wash water in particular is very acidulous. So you have to be and be very careful with the material you use and also the craftsmanship of putting it in to ensure that it will not malfunction after a short time. So we are definitely going to very interesting times and for engineers this is, it's the time of their life.
Chris Robertson: Got you. Last question from me. On those charter extensions that you completed where the charters extended kind of added similar rate or would they readjusted based on the current market?
Ole Hjertaker: Well, I think, it's a combination of, some as current rate and some as the slightly lower rate, but for a longer period. So I would say not material -- not really material, sort of downward adjustments, but it's really more reflection of vessel age and the length and the structure of the charters. I cannot give you specific details on each of them, but we will -- we are sharing as always our full charter backlog vessel-by-vessel which you can get by emailing us or either directly or through our webpage, www.sflcorp.com.
Chris Robertson: All right. I'm going to try to sneak in one last question, if you don't mind. You guys are largely insulated from the rate volatility associated with this US-China trade war tensions going on. But in your opinion, kind of, what does the container ship market look like, if a deal is reached this year versus no deal reach this year?
Ole Hjertaker: Well, of course, it's a big question. Isn't it? Because it is affecting, obviously trade in general. And we don't have our own independent analysis on the detailed effects of that, call it, trade dispute. I do hope that it is relatively shorter of nature, when We make our investments of course, we have a very long-term view and hopefully this is what I visit -- this is will end up being, what I would call market noise more than the long-term fundamental shift in world trade. But of course, all container lines will be affected, if it is a very lasting effect. Where you would expect to see lower utilization on vessels and then as a consequence, most likely higher level of vessels taken out of service. But I do think that the vessels that we have concentrated our capital, which is sort of what we call new design vessels from around 9,000 TEU and upwards, with a more optimal engine and whole configuration and with better fuel consumption parameters will be, if the preferred units also through and after such, call it, market disruption, if you can call it that. But so far, we are watching it and it looks like it's something that's being played out over Twitter. So we'll see how this goes.
Chris Robertson: Got it. Appreciate the time. Thank you.
Ole Hjertaker: Thank you.
Operator: [Operator Instructions] And there are no further questions at this time. So, please go ahead.
Ole Hjertaker: Thank you. Then I would like to thank everyone for participating in our first quarter conference call and also thank the SFL team for their great efforts. We are committed to continue building the company and we believe, there will be good investment opportunities for us going forward with attractive risk reward profiles. If you do have any follow-up questions, there are contact details in the press release, or you can get in touch with us through the contact pages on our web page which is www.sflcorp.com. Thank you.
Operator: Thank you so much. And that does conclude our conference for today. Thank you for participating. You may all disconnect.